Operator: Good day and welcome to the Logitech First Quarter Financial Results Conference Call. At this time, all participants are in listen-only mode. We will be conducting a question-and-answer session and instructions will follow at that time. This call is being recorded for replay purposes and may not be reproduced in whole or in part without written authorization from Logitech. I would like to introduce your host for today's call, Mr. Joe Greenhalgh, Vice President of Investor Relations and Corporate Treasurer at Logitech. Please go ahead, sir.
Joe Greenhalgh: Welcome to the Logitech conference call to discuss the company’s financial results for the first quarter ended June 30, 2014. The press release, our prepared remarks and slides as well as a live webcast of this call are all available online at logitech.com. As noted in our press release, we published our prepared remarks on our website in advance of this call. Those remarks are intended to serve in place of extended formal comments today and they will not be read on this call. During the course of this call, we may make forward-looking statements including forward-looking statements with respect to future operating results that are being made under the Safe Harbor of the Securities Litigation Reform Act of 1995. The forward-looking statements involve risks and uncertainties that could cause actual results to differ materially from those anticipated in the statements. Factors that could cause actual results to differ materially include those set forth in Logitech’s Annual Report on Form 10-KA for the fiscal year ended March 31, 2013, and subsequent filings, which are available online on the SEC EDGAR database and in the final paragraphs of the press release and prepared remarks from Logitech reporting first quarter financial results for fiscal 2015. The forward-looking statements made during this call represent management’s outlook only as of today, and the company undertakes no obligation to update or revise any forward-looking statements as a result of new developments or otherwise. Please note that today’s call will include results reported on both a GAAP and a non-GAAP basis. Non-GAAP reporting is provided to help you better understand our business. However, non-GAAP financial results are not meant to be considered in isolation or as a substitute for or superior to GAAP results. Non-GAAP measures have inherent limitations and should be used only in conjunction with Logitech’s consolidated financial statements prepared in accordance with GAAP. Our press release includes a table detailing the non-GAAP measures together with the corresponding GAAP numbers and a reconciliation to GAAP. This information is also posted on our Investor Relations website. The slides that accompany this call include both GAAP and non-GAAP measures and are also available on our Investor Relations website. We encourage listeners to review those items. Please note that the preliminary financial information for the first quarter of fiscal 2015 discussed in this call was compiled by the company and has not yet been reviewed by its independent auditors. These preliminary results and the results for the corresponding period at fiscal 2014 may be subject to material adjustment for the reasons described in our press release and until we can file our quarterly report on Form 10-Q for the first quarter of fiscal 2015. A complete financial information including balance sheet and cash flow information will be provided when the company files that quarterly report. This call is being recorded and will be available for replay on the Logitech website. Joining us today are Bracken Darrell, President and Chief Executive Officer; and Vincent Pilette, Chief Financial Officer. I’d now like to turn the call over to Bracken.
Bracken Darrell: Thanks, Joe, and thanks to all of you for joining us. Q1 gives us a strong start to fiscal 2015. We exceeded expectations, delivered strong sales growth with our retail sales growing for the fourth time in the last five quarters; improved profitability significantly and generated strong cash flow. Vincent and I will give you a brief overview of our Q1 performance and then I’ll come back and discuss the outlook. Sales in our growth category increased by 17% compared to the prior year. That’s against the comparison to last year when we had over 90% growth because we had a one-time shift in the seasonality of our new product launches. Let’s look a little more deeply at each of the businesses within our growth category. First, PC gaming grew 17%. We’re starting to see the impact of our new product programs. In our Americas region, where much of our updated portfolio is now available, we gained over four points of market share, the first increase in several years. Now for mobile speakers. Our mobile speaker sales more than doubled for the fifth consecutive quarter. The strong momentum has been driven by our flagship product UE BOOM. It was our best selling product in Q1 and it continues to receive awards of all types with the most recent being the Industrial Designers Society of America Gold award for the entertainment category. Finally, it was a weak quarter for our tablet and other accessories category, our third growth category. The 15% decline in our net sales resulted from two key factors. First, a slowing the market for iPad shipments and second, the impact of the incremental inventory reductions we took to align with the slowdown in the iPad market. We acted quickly to ensure we have a lean channel ahead of any new iPad products that might come. Despite the slowing iPad tablet market, both sell-through of our iPad keyboards and our market share continue to grow. As you might recall, we’ve broaden the focus of our strategy to actively target the Samsung opportunity where the attach for keyboard covers is growing rapidly. Our Samsung keyboard business was too small as of yet to offset the slowdown in iPad keyboard sales in Q1, but we’re expanding our offerings. Just last month we introduced the Logitech Type-S, a protective keyboard case for the Samsung Galaxy Tab S. Our focus for tablet accessories in fiscal 2015 is to first, expand our offerings for the Samsung platform; second, prepare for the launch of the next iPad when it might come and third, increase our share in the covers market through continued innovation and functionality and design. While the iPad market was relatively weak, we benefitted from a stronger-than-expected PC market in Q1. It’s premature to directly correlate a better PC market with a weaker tablet market but it is true in Q1 that as the tablet sales softened, notebook and desktop PC sales strengthened. Q1 sales in our profit maximization category which is primarily composed of PC peripherals were up by 1%. In spite of the ongoing structural decline in the consumer webcam market, we delivered 10% sales growth in our retail video category, the first year-over-year growth in three years. This might surprise you given the expected decline in consumer webcams, but the growth is a net number reflecting both a continued steep webcam decline and a very strong growth from our video collaboration offerings. What is video collaboration? This video collaboration subcategory offers high quality audio and video to small and midsized conference rooms and works with any platform from Skype to LifeSize to Polycom and more. Our Logitech brand and product portfolio for video collaboration is very strong and I expect the market adoption of low price, high quality video collaboration solutions to continue through fiscal 2015. We also had a strong quarter in PC keyboards and desktops with sales up at 8%. In spite of a weak PC market over the last few years, this is the fifth time in the last six quarters that we’ve grown this category. Our results demonstrate the appeal of our living-room keyboards as well as a strong value proposition of our keyboard and mouse combo offerings. Our profit maximization category also made a major contribution to our Q1 non-GAAP gross margin with a key driver being reductions in product costs as we execute our strategy for managing our PC-related categories. Complementing this gross margin improvement and contributing to the substantial increase in our overall profitability, we continue to demonstrate disciplined management of our spending delivering an $18 million reduction in our non-GAAP operating expenses compared to the prior year. Before wrapping up my comments, Vincent has some comments on the quarter as well.
Vincent Pilette: Thank you, Bracken. In Q1 we continued to make good progress in improving operational execution and reducing our cost structure while delivering 3% sales growth for our retail business and 1% for the company overall. In the quarter, we delivered a record high non-GAAP gross margin of 38.3%, an improvement of 240 basis points over the prior year. Note that about 100 basis points of this improvement is related to the unusual situation of our accounting books still being opened for Q4 of the prior year. Please refer to the prepared remarks posted on our website for more information on that topic. Even without that unexpected benefit, we are very pleased with our Q1 gross margin performance. As planned, a key driver of the improvement was the success of our cost optimization initiative in our profit maximization category combined with a slight improvement in our growth category as some of these products begin to achieve scale. While we don’t guide gross margin, we could see up to a point of margin upside for fiscal year 2015 compared to our long-term financial model of 35%. We expect to float about two-thirds of the incremental gross profit to the bottom line as we march towards our long-term operating profit margin goal of 10% and invest the rest to accelerate our product innovation. Q1 was the fifth consecutive quarter that we have reduced the absolute level of our non-GAAP operating expenses. As a percent of sales, our non-GAAP operating expenses were 29.2%, an improvement of 420 basis points compared to the prior year. We are pleased with our progress as we continue to drive reductions in our indirect procurement spending as well as our global infrastructure to create investment capacity and support future growth opportunities. You should expect our spending to grow sequentially in Q2 as we prepare for our seasonally strong Christmas quarter. Note that our non-GAAP operating expenses in Q1 of the current year excludes $8.7 million of one-time costs related to the ongoing audit committee investigation. The improvement we have made in managing our working capital efficiently continued to drive strong cash generation. In Q1 we generated approximately $28 million in cash flow from operations delivering our best Q1 in the last five years. For the last 12 months, we delivered approximately $230 million in cash from operations, up by approximately 89% year-over-year. Our quarter ending cash balance of about $485 million was up by 166 million over the prior. Our capital allocation strategy remains the same with the focus on three areas. First, business investment and small acquisitions as a priority; second, annual dividends and third, opportunistic share buyback. Let me wrap up by saying that my team and I are working diligently on completing the incremental accounting work necessary to file our Form 10-K. As soon as we have more information on that topic, we will share it with you. On that note, I’ll turn it back to Bracken.
Bracken Darrell: Thanks, Vincent. Based on the strength of our better-than-expected Q1 performance highlighted by a solid increase in profitability, we’ve raised our full year outlook for non-GAAP operating income in fiscal year 2015. We continue to expect sales of $2.16 billion and we’ve raised our outlook for non-GAAP operating profit by about 17% to approximately $170 million compared to the previously expected $145 million. It’s early in the year and there are many uncertainties at this stage; tablet growth rates, PC growth rates and more. I feel very good about our Q1 start and I’m excited about our product portfolio and the progress we’re making as we target the many opportunities before us. Of note, we’ve grown retail sales four of the last five quarters. In this fast-paced world, we want to be growing regardless of the dynamics of a single business. We’re managing a more balanced portfolio that includes a number of growth businesses and we intent to add more as we invest to drive future growth. With that, Vincent and I are available now to take your questions. Please follow the instructions of the operator.
Operator: Thank you. (Operator Instructions). This comes from the line of Youssef Essaegh from Barclays. Please go ahead.
Youssef Essaegh - Barclays Capital: Hello. Thanks for taking my question. I just wanted to ask you on the new guidance. So you raised your guidance by about 25 million, 30 million for the year and given the better gross margin in the first quarter, why don’t you feel confident that you can carry that over for the rest of the year? And also if you think about it next year, do you think that is sustainable also into next year? Thank you.
Vincent Pilette: Hi, Youssef. This is Vincent. So with regard to the guidance, it’s mainly coming from improvement in the gross margin and the strong quarter we have had. A portion is coming from the one-time event in Q1. And as I explained, the gross margin portion is coming from cost optimization in our overall profit maximization category. We feel really good that about two-third of that improvement is sustainable and structural in nature. And then as I mentioned, we want to invest a third to accelerate the top line growth and accelerate the innovations of our new product. So we don’t guide for FY '16 and I’ll leave it at this year. We’ll see for next year.
Youssef Essaegh - Barclays Capital: And do you expect also therefore the mix in your revenue to continue to change through 2015?
Vincent Pilette: Yes, we expect the growth category to well outgrow the profit maximization. You’ve seen the IDC numbers. While PC category was still in decline but slightly better here in our first quarter for the second calendar quarter, you also see that the remaining of the year is still a decline of 5% to 6% and that’s what we’ve used in our guidance. And in the growth category, as Bracken mentioned, is a portfolio mix but we feel really good about double digit growth for that category.
Youssef Essaegh - Barclays Capital: Thank you.
Operator: Thank you for that question. The next question comes from the line of Paul Coster of JPMorgan. Please go ahead.
Paul Coster - JPMorgan: Thanks very much. A couple of questions. First of all, can you give us a little bit of color around what you’ve done to achieve this very impressive improvement in gross margins? What are the cost optimization actions that you’ve actually taken?
Bracken Darrell: Yes, actually Vincent mentioned about 100 basis points with our gross margin improvement is actually because we’ve left our Q4 open, and so some of that improvement actually would have been – some of the cost have been pushed back into Q4 according to accounting principles. But the rest of it is real and sustained in this quarter and it’s really driven by a couple of things and it’s across most of the business. We’ve got aggressive cost reduction programs going on our PC peripherals business and that’s a large piece of it. But we’ve also got improvement in our growth businesses too where we mentioned in the spoken remarks that we’re starting to hit scale in several products including products like our music products where as they hit scale the cost go down.
Vincent Pilette: So if I can add, Paul, quickly in three-dimension, so we’ve designed for lower costs. We standardized some of the components and work on the procurement aspect of it. And then as Bracken mentioned, as we always plan and said, as the new growth categories start to scale, we benefit from those advantage of higher scale.
Paul Coster - JPMorgan: All right, got it. Okay. And then is there anything in the current quarter which is the back-to-school quarter, I guess, that we should be sort of really focused on in terms of the product categories that are most likely to move things one way or the other?
Bracken Darrell: You’re right, it is the back-to-school quarter. I mean our kind of outlook for the quarter as we expect to have a pretty flattish quarter from a top line standpoint. And at the end of the day this is always a quarter where we have several new product launches. You’ll see things coming soon. Some of those new product launches are a little dependent on when we’re ready, when the market is ready for them. Some could hit this quarter, some could next quarter, which makes it a little more uncertain for us to be able to give you specifics. But no, I don’t think there are any particular surprises this quarter that we’re aware of so far anyway.
Paul Coster - JPMorgan: My last question is on the gaming front, what is it that sort of – outside of some market share gain, it seems like the gaming category seems to be doing quite well from a secular perspective. And so why is that?
Bracken Darrell: A couple of things. I mean first to be really [high] (ph), 50,000 feet, people just have more free time and there are more and more people playing games. I have two kids and – I have three kids actually but two boys. All three of my kids play PC games and that’s where we’re focused. So we think you’re going to continue to see growth of what’s called PC gaming but I think it will become PC gaming and mobile gaming. I don’t think you can expect anything but a long-term trend for that to continue to increase. I’m not so sure about console gaming. I think you’ll see a bump and a decline in that and maybe it will bubble up and down a little bit as time goes on, but PC gaming and mobile gaming are probably here to stay at least for the next five plus years.
Paul Coster - JPMorgan: All right, thank you.
Bracken Darrell: Thank you, Paul.
Operator: Thank you for that question. The next question we have comes from the line of Tavis McCourt from Raymond James. Please go ahead.
Tavis McCourt - Raymond James: Thanks for taking my question. First one is on the tablet and mobile accessories. Can you talk about where you are now in terms of commercial launches in that category outside the tablet keyboard? So I think you’ve got a couple of launches there. Explain what the strategy is there and kind of what the outlook is for the rest of the year? And then in terms of the video category, can you give us a sense of the percentage of revenues now that are non-webcam or kind of enterprise related? Thanks.
Bracken Darrell: Sure. First in tablet keyboards, we really didn’t exist in the keyboard cover category a year ago. We had a couple of small products in there. We’ve expanded that lineup recently. And I think we’ve got some pretty good products out there now. We can do even better. As time goes on, I think you’ll see us come with an even more impressive portfolio. Although I think we have out there now to be honest is the best thing you can buy, but you’d probably expect to hear that from me. On the Samsung side, which is a keyboard cover story, we’ve really just gotten started on trying to drive attachment rate in Samsung like you have on iPads. And it’s a little too early to declare victory but I’d say there is some green shoots out there that suggest that the attachment rate for a keyboard with Samsung could look very similar to what we see on the iPads. So too early to say, but I’m optimistic that we can do something there. So that’s basically our strategy. On the video side, yes, I’m sure that is an interesting story for you. Webcams are certainly in decline. The video collaboration products we’ve talked about, we have two products in particular, three products I guess that really are used for people – for companies and people who are trying to create a video conference room out of a room that wasn’t a video conference room before. So it’s really about enabling all this plethora of rooms that could be video enabled for small collaboration video calls. And we’re relatively new to the business but it’s a really exciting business and we have a terrific portfolio.
Tavis McCourt - Raymond James: And is it still pretty de minimis in terms of the overall revenues there or is it big enough to start moving the needle?
Vincent Pilette: It started to move the needle in the video category, it’s still too small to move the needle overall for the company. The market opportunity of VC is big and we’re very focused on that category.
Tavis McCourt - Raymond James: Great. And then a clarification, Bracken, when you say flattish in next quarter, I presume you mean year-over-year not sequential, right?
Bracken Darrell: That’s exactly right.
Tavis McCourt - Raymond James: Okay. Thanks.
Operator: Thank you for that question. The next one comes from the line of Michael Foeth from Bank Vontobel. Please go ahead.
Michael Foeth - Bank Vontobel: Yes. Hi, gentlemen. Just a question on the one-time cost you had relating to the audit committee investigation. I was just wondering how we should look at that in the current quarter? Is there similar amounts going to come again or was that it more or less, if you can comment on that? Thank you.
Vincent Pilette: Hi, Michael. This is Vincent. So the costs that we reported obviously one-time in nature for the period of Q1, the investigation is still ongoing. We don’t have yet a final timeline and once we have a timeline we’ll communicate that appropriately. And you should expect that for as long as it’s open, we’re going to continue to have a run rate for that activity.
Michael Foeth - Bank Vontobel: And is that mostly external costs or is that cost that you basically book within the company because there’s a lot of people…?
Vincent Pilette: No, it is 100% external variable costs.
Michael Foeth - Bank Vontobel: Okay, great. Okay. Thank you very much.
Operator: Thank you. The next question we have comes from the line of Andrew Humphrey from Morgan Stanley.
Andrew Humphrey - Morgan Stanley: Hi. Thanks for taking my questions. I wonder could you firstly tell us if you have an updates on attach rates for iPads for keyboard accessories, if you have some visibility on that? I know it’s a slightly weak market at the moment but any update nonetheless. And secondly, I think on OpEx if I look at the non-GAAP number, you had a pretty strong quarter. So I’d be interested to understand whether there were any temporary effects there or if you view that sort of new run rates are sustainable?
Bracken Darrell: I’ll take the first one. I’ll let Vincent answer the second one. On attach rates to the iPad, it’s always the calculated number, so I think you can’t take anything we say in one single snapshot as 100% certain, but over time it is. We continue to see attach rates grow. I mean it’s a little bit of a mixed bag. The large iPad in the U.S. looks like it flattened a little bit, globally still growing. The small iPad continues to grow. But as I said, we’re going to keep an eye on that all the way through. The attach rates for the Samsung keyboards certainly look like they’re growing. So, I’d say overall you can safely say the iPad attach rates are still growing.
Vincent Pilette: Andrew, on the OpEx, obviously we’re pleased by delivering the commitment we’ve made on the operating expenses. If you look at the ratio as a percent of sales, 29% non-GAAP basis for the quarter. It’s definitely excellent progress reduction of four points year-over-year, but it’s still far from our operating model on the long term, right. We have a business model of 25%. And when you look at where we still need to make improvement, it’s in the infrastructure and what you don’t see in the P&L but indirect expense. So we’ll continue to focus and create those savings. And then we’ll reinvest a portion of that into new activities. If you look R&D costs we have achieved a good run rate but we want to continue to invest in R&D to drive new products and then the same for field and merchandizing activities. In terms of dollars, obviously that will fluctuate with the revenue. And as I mentioned, you should expect OpEx to grow sequentially in Q2 and Q2 as we prepare for the busiest quarter.
Andrew Humphrey - Morgan Stanley: Okay. Thank you.
Operator: Thank you. The next question we have comes from the line of Andy Hargreaves from Pacific Crest Securities.
Andy Hargreaves - Pacific Crest Securities: Thanks. Just to clarify, is the, Vincent, the comment that two-thirds of the gross margin improvement is sustainable, is that including or excluding the 100 basis point accounting benefit?
Vincent Pilette: No, that is excluding. So we have about 240 basis point and one point coming from the one-time benefit of our Q4 books still being opened. The remaining about two-thirds will be sustainable.
Andy Hargreaves - Pacific Crest Securities: Okay. And then on just to follow-up sort of on the video collaboration stuff, is that sold through the traditional retail channel or is that sold through LifeSize or resellers? How is that packaged and sold?
Bracken Darrell: Yes, that does not go through the traditional retail. It also does not go through LifeSize. Although LifeSize does offer part of that video collaboration equipment as part of their offering with their new iCloud, but that would be an insignificant part of it so far. So, yes, it’s sold through the traditional resellers who would go into small and medium-sized business.
Andy Hargreaves - Pacific Crest Securities: Okay. And then just last, did you launch the new Ultrathin and Big Bang cases in the June quarter or is a lot of that launched in terms of actually shipping it to partners coming in September?
Bracken Darrell: No, we launched that in our current quarter, in the June quarter.
Andy Hargreaves - Pacific Crest Securities: Okay.
Bracken Darrell: The last quarter, Q1.
Operator: The next question we have comes from the line of Joern Iffert from UBS.
Joern Iffert - UBS: Hello. Thanks for taking my questions. The first one would be on tablet profitability. Can you give us a feeling please what top line do you need in the tablet segment to reach average group margins? Second question would be, you were talking about M&A, are you also screening targets or are there targets available with revenues of more than 150 million? And if yes, in which categories would this be? And the last question would be on the dividend. Is it fair to assume that a yield of 2% to 3% should be in all models? Thanks very much.
Bracken Darrell: I’ll answer the middle one and I’ll let Vincent take the other two. Yes, in terms of acquisition targets, we’re certainly screening acquisition targets of all shapes and sizes. It would be a long shot to have us buy one that would be really large but it’s out of the question. To be clear though, we’re not reliant on acquisitions to deliver our commitments for this year or our longer term rejections. I think we can do that completely organically. But if we see opportunities, we’re certainly going to go after them and we are screening literally weekly.
Vincent Pilette: On the gross margin side, Joern, for the benefit of everyone listening, so our average gross margin of 35% to 36% is delivered by profit maximization being a few points above that and the growth category being a few points under. The reason growth categories are a few points under is a, scale and b, investment as we continue to accelerate merchandizing and penetration of those growth categories. At this point in time, tablet is within the average obviously of the growth category and it will all be a relationship of top line gross versus margin maximization. At this point in time, also the quarter is negative gross and the market has slowed down. We still believe we have a very strong opportunity to other platform and gain market share in the iPad market to continue to run that category as a suboptimal gross margin versus the corporate average. And then on the dividend, I mentioned our three capital allocation strategies; investment in the business, dividend and then opportunistic share buyback. Obviously at the right time, the Board will meet and decide in terms of dividend increase, what the strategy is and we will communicate that appropriately.
Joern Iffert - UBS: All right, thanks. And maybe a short follow up on LifeSize. Is LifeSize profitable on GAAP EBIT level at the moment?
Vincent Pilette: So LifeSize, as you know, we took a big restructuring mid of last year. We made it profitable for the second half of the year. In Q1 they had a sales decline of 14% and on a non-GAAP basis we lost $1 million.
Joern Iffert - UBS: Thank you very much.
Operator: Thanks for that question. (Operator Instructions). The next question we have comes from the line of Alex Peterc from Exane. Please go ahead.
Alexander Peterc - Exane BNP Paribas: Hi. Thanks for taking my question. Just a quick on the tablet market. You mentioned that sales were down quite heavily because you were clearing channel inventory. Is it all behind us now, or do you still have some more inventory adjustment to be done this quarter? Thank you very much.
Bracken Darrell: We’ll continue to reduce our inventories in the channel this quarter as well, I believe. It really depends on what happens to the market overall, but we expect to bring it down a little further. And I think once we do that, we’ll be in a pretty good position going into Q3.
Vincent Pilette: Alex, if I can add quickly, we’re monitoring sales too very closely and obviously we intend to adjust that channel inventory aligned with sales growth. So it’s all a factor of what the sales are, then sales to demand will be.
Alexander Peterc - Exane BNP Paribas: Okay. Thank you very much.
Operator: Thank you for that question. The last question we have comes from the line of Felix Remmers from Credit Suisse. Please go ahead.
Felix Remmers - Credit Suisse: Hi, everyone. Quick two questions, one follow up on LifeSize. I was wondering to what extend the video collaboration offering in video is cannibalizing the sales in LifeSize and what can we expect from this cloud solution you launched recently? Shall we expect here sales to further decline in this category? And the second question I got is on tablet accessories. Is it fair to assume that this category is unlikely to grow in this year?
Bracken Darrell: Okay. Let me address your first one. The interaction between our video collaboration and the LifeSize business, no, not really. I mean at the end of the day, the overall – the number of smaller rooms and this is really newer rooms coming in and becoming video enabled is growing very rapidly and those tend to be done at a pretty low cost, much lower cost than the conventional system. So for the most part that is certainly unlikely to be cannibalizing anything in LifeSize or even Cisco or Polycom, anything in that industry. Now that said, part of the mission that LifeSize has is to build a cloud-based system that can work anywhere, on any room size and I’m sure most of you haven’t tried it yet, it’s a terrific new system and it will absolutely work with our equipment. So over time you can see that actually helping to grow that. On your comment on tablets and accessories, I think your question was do we expect that category to grow this year? It’s really tough to predict. We’ll see. We do continue to see – if you read the IDC forecast, the forecast is for continued growth in the tablet area and we certainly would expect to grow at least that strongly over time, net of any supply chain inventory reductions we’d be doing.
Felix Remmers - Credit Suisse: Okay. Thank you very much.
Vincent Pilette: Thanks, Felix.
Bracken Darrell: Thank you.
Operator: Thank you. We do have a final question and it comes from the line of Tavis McCourt from Raymond James.
Tavis McCourt - Raymond James: Thanks. Just a follow-up. Vincent, can you talk about if there was any shares repurchased in the quarter? And how should we think about the pace of share repurchases? Thanks.
Vincent Pilette: Yes. Hi, Tavis. So the Board approved a buyback program back in March of 250 million to complete over multi-years. We said it would be driven as an opportunistic share buyback and we have our own valuation model. Unfortunately, until we’re back on file, that program had to be put on hold and we cannot buy back in the market until we are current with our filing.
Tavis McCourt - Raymond James: Understood. Thank you.
Bracken Darrell: Thanks, Tavis. Any last questions?
Operator: Thank you. There is no further questions at this time. I’ll turn the conference back over to Mr. Darrell for closing remarks.
Bracken Darrell: Okay. Thanks. With the first quarter behind us, we’re confident about our trajectory in fiscal year 2015. Our team is focused on delivering sales growth and improved profitability. Our strategy is working. We’re improving the profitability of our PC peripherals business and we’re striving to build an expanding portfolio that will grow regardless of how computing platforms; PC, tablets, smartphone or operating systems; Apple, Microsoft, Android evolve. Now it’s up to us to create more growth engines and we will. Thank you for joining us today.
Operator: Thank you. That concludes our conference for today. You may now all disconnect. Thank you.